Operator: Good morning and welcome, everyone, to FEMSA's Third Quarter 2018 Financial Results Conference. All lines have been placed on mute to prevent any background noise. After the presentation, there will be a question-and-answer session. During this conference, management may discuss certain forward-looking statements concerning FEMSA's future performance and should be considered as good faith estimates made by the company. These forward-looking statements reflect management expectations and are based upon currently available data. The actual results are subject to future events and uncertainties, which can materially impact the company's actual performance. And now, it's my pleasure to turn the conference over to Eduardo Padilla, FEMSA's Chief Executive Officer. Please go ahead, sir.
Eduardo Padilla: Hello, good morning, everyone, and welcome to FEMSA's Third Quarter 2018 Results Conference Call. Juan Fonseca and Maria Dyla Castro are also with us today. As we usually do, we will focus the call on the consolidated figures for FEMSA and on FEMSA's Comercio results. Since many of you probably had the opportunity to participate in Coca Cola FEMSA's conference call yesterday, we wanted to use today's call to try to add some color and some quantitative elements to the discussion, as well as to hear your views and to answer your questions. Hopefully, you will find it useful. Before we get into the quarter results in more detail, I would like to mention briefly that as of the third quarter, we have made a change to the disclosure related to our business formerly named as FEMSA Comercio Retail Division. We have removed those operations that are not directly related to our proximity store business, namely our restaurant and discount-retail units from this segment. The segment is now named the Proximity Division and will only include proximity and proximity-related operations, most of which operate today under the OXXO brand across markets. This change to our disclosure will provide a more accurate picture of the performance of this key high-growth business. During the third quarter, we continued to see our business units making steady progress. Store counts, comparable sales, and gross margins once again grew across retail formats and markets. However, operating margins were under moderate pressure, particularly in Mexico, reflecting tight labor conditions and higher operational costs, as well as OXXO's increased international organic expansion efforts. At Coca Cola FEMSA, we saw positive top-line performance in several of our markets, particular in Mexico, as well as encouraging signs of progress in other regions, including the recently acquired operations in Guatemala and Uruguay. On the strategic front, there is interesting news, as well. We recently announced that we're entering into Ecuador through our Health Division with a transaction that is expected to close in the first quarter of next year. And today, we are announcing our entry into Peru, where we're operating our first OXXO store in the city of Lima. These two announcements reflect our commitment to keep expanding our small-box platform across Latin America. Moving on to discuss FEMSA's consolidated quarterly numbers, total revenues during the third quarter increased 7.9%, and income from operations increased 8.1%. On an organic basis, that is excluding the results of the operations in Guatemala and Uruguay at Coca Cola FEMSA and Caffenio at the Proximity Division, total revenues increased 8.9%, and income from operations decreased 1.2%. Caffenio is our sole coffee supplier in Mexico and excellent partners, where we have obtained corporate control through an ownership stake of 50%. Net income decreased significantly, reflecting a demanding comparison base caused by the extraordinary non-operating income generated in the third quarter of last year from the sale of 5.24% of our combined interest in the Heineken group. This decrease reported today also reflects a non-cash foreign exchange loss related to FEMSA's dollar denominated cash position as impacted by the position of the Mexico peso during the quarter, partially offset by lowering interest expense. Our effective tax rate was 36.6%. In terms of our consolidated net debt position during the third quarter, it increased by approximately MXN48 billion compared to previous quarter, to reach a net debt of MXN75 billion at the end of September. As we have discussed in the past, these increases in net debt do not reflect additional borrowing, but rather they show our investment in liquid securities that have maturities longer than 90 days and, therefore, cannot be reported as cash. You will find this reflected in the investment and other assets lines of our balance sheet. Moving on to discuss our operations and beginning with FEMSA's Commercial Proximity Division, we opened 182 net new OXXO stores during the third quarter, reaching 1430 net store openings for the last 12 months. This number continues to reflect a strong pace that currently puts us slightly ahead of our stated objective for the full year of 2018. We should also note that the figure reported for the Proximity Division, including the store counts evaluation and same-store sales include not only Mexico, but also Colombia, Chile, and, going forward, Peru. The revenues for the division increased 12.1% on an organic basis. That is excluding Caffenio. Revenues grew by 11.7%. OXXO's in-store sales were up 6.2%, driven by a 3.6% increased in average customer ticket and a robust 2.5% growth in-store traffic. These numbers reflect a resilient consumer environment in Mexico and a low comparison base that was affected by the natural disasters in Central Southern Mexico during September 2017. Moving down the P&L, the third quarter gross margin expanded 170 basis points, reflecting: one, Sustained growth of the service category, including income from financial services; number, two increased and more efficient promotional program with our key supplier partners; number three, healthy trends in our commercial income activity and number four, the consolidation of Caffenio. Income from operations increased 8.7%. On an organic basis, income from operations increased 6.3%. The operating margin contracted by 30 basis points, reflecting: number one, higher secure cash transportation costs driven by increased volume and higher operational costs, including fuel prices; number two, our continuing and gradual shift from commission-based store teams to employee-based teams; number three, an increase in electricity tariffs during the last month of the quarter; and four, organic growth of OXXO's international operations that have achieved healthy sales levels per store, but have yet to reach sufficient scale to better absorb overhead. Moving on to FEMSA's Comercio Health Division, we added 52 drugstores, including a small acquisition in Colombia, to reach 2303 units across our territory at the end of September, and 100 to 125 net new stores over the last 12 months. Revenues increased 10.2%. In-stores sales increased an average of 6.3%, which includes a positive currency translation effect related to the position of the Mexico peso compared to the Chilean and Colombian pesos. Gross margin expanded by 40 basis points in the third quarter, affecting commercial activity, driving positive margin mix and volume, as well as more effective execution across markets, mainly in South America. Operating margins increased 60 basis points, reflecting the sales growth and gross margin expansion as I described above, combined with: number one, the strength of the Chilean and Colombian pesos relative to the Mexican peso during the third quarter, and number two, increased operating leverage generated by cost efficiencies and tight expense control. For its part, FEMSA's Commercial Fuel Division added 20 gas stations during the third quarter, to reach 519 units at the end of September and 122 net new service stations for the last 12 months. In-station sales grew 7.5% in the third quarter, as average price per liter increased by 19.5%, while average volume decreased by 10.4%. Gross margin expanded by 120 basis points, reflecting improved supply turns and a recovery from a low comparable base last year, when gross profits per liter were held flat in peso terms in certain territories. Operating margin recovered by 10 points year over year. And finally, moving on briefly to Coca Cola FEMSA, as John highlighted in the press release yesterday, besides a robust top-line performance in a resilient Mexico, there were several encouraging signs of recovery in most markets, including Brazil, Colombia, and Guatemala, aided as well by lower sweetener costs and efficiency gains. If you were unable to participate in Coke FEMSA's conference call, you can access a replay of the call for additional details on the results. As we look forward at the end of 2018 and into next year, we continue to see macroeconomic uncertainty in many of our markets, including Mexico and Brazil. However, uncertainty can often bring opportunity, and with that view, we are optimistic about our possibilities to create value as we chart our strategic path for 2019 and beyond. So, with that, we can open the call for your questions. Operator?
Operator: Thank you. [Operator Instructions] And we'll go first to Luca Cipiccia with Goldman Sachs.
Luca Cipiccia: Hi, good morning. Thanks for taking my question and for the update. I actually was curious to ask about OXXO international plans or expansion, if you like. It seems to be that you've become a little more assertive in the area of rolling out the model outside of Mexico. So, I was hoping you could maybe spend a little bit of time in discussing what the potentials you see now over the median term, what have you learned from the past and how you're tuning maybe that offering. I guess this is not entirely a new project...But maybe I got the wrong impression, but it seems to me that there is a little more confidence, and even the speed or the breadth of the countries that you're looking at is growing. So, I would appreciate if maybe you could give us some insight on how you see that project developing in the short term and in the median term.
Eduardo Padilla: Okay. Thank you, Luca. Basically what I will say is that we are very much surprised and confident that sales volume per store in Colombia and Chile, they are very, very good. In fact, we are very much surprised that we are feeling, that our output per store is so good and so strong. We do have to understand better how to perform in those particular markets per store in order to allocate labor the way we should have and in order to expand our margins per store. But I think Colombia, we are very positive. Our Bucaramanga stores are growing now very strongly. And in the same way, in Bogota in this year, which has been a tough year, the beginning of 2018 was a tough year for Colombia. Then we have Chile. Chile, we have the Big John chain that we're changing little by little the store formats, the decorations, all the ambience, all the environment to be more the OXXO setting. And we reduced prices in Chile, too. In order to understand that convenience or proximity has not to be expensive, and we were surprised that volumes in those markets grew very strongly. We are basically, all this has caused some problem, because we have been changing the Big John format, and we are shutting down the stores sometimes three or four months. Stores that used to have sales, now for three or four months, they just have been idle, and we're investing to reshape the value proposition. But we're very happy. We think that by the end of the year, we have all the stores in Chile to the new format. We lack scale in order to improve our margins, but I think we have to understand better how to price, how to start moving and playing with prices so we can really expand our margins. Given those two, I think Chile, we will be betting to increase our stores by, I don't know, around probably with a growth of 30% to 40% in both markets. And now we have Peru. In Peru, we are understanding, again, I mean, given our confidence that we have gained by having the operations in Colombia and Chile, I think it's very important for us to start doing our value proposition again in Peru. And in Peru, I think we have a very interesting opportunity, too. And given the knowledge and all the learning that we have had through the Colombia learning curve and the position of Big John in Chile, we feel confident. We are going to do a major bet in Peru, too, and that will probably affect our results because overhead will be there with no stores. But again, we're confident that we should, it's the time for us to do this betting and then to expand also value proposition for Colombia, Chile, and Peru. I don't know if you want to add anything, Juan.
Juan Fonseca: Hi, Luca. This is Juan. I think for [indiscernible] purposes and the way that we've kind of discussed and agreed with the operator that we can communicate with the market on the international operations, I think we're going to do it generally lumping together the three countries in terms of expected growth. Especially I think in Peru, from a competitive standpoint, our teams wants to keep kind of the cards close to the vest in terms of how many stores they will be opening. But, as Eduardo just said, you should expect for next year the growth to be kind of in the 50% type of range, which of course is much more aggressive than what we have done in the past. Obviously, to put things in perspective, by the end of this year, all of our international operations together will probably represent maybe 1% of all the OXXO stores. So, 17,000 plus in Mexico and roughly 170 or something close to that outside of Mexico. But, you know, you start growing at 50% and the numbers begin to be not so tiny pretty quick.
Luca Cipiccia: That's very clear, thanks. If I may, a quick follow-up. What has changed in making you feel that -- let's say that the brand travels well. I remember in the past in Colombia and that sort of operation has been tested for quite some time. There was a discussion with regard to the fact that local consumers have different expectations in terms for a convenience offering, in terms of service level, in terms of prepared food, in terms of variables. Have you moved more toward what the consumer wants or fine tune your offering? Maybe if you can explain how you see the OXXO brand traveling across different countries. And then secondly, real quick, should we assume that this expansion is going to be mostly organic or you may do some M&A as you've done small transactions as you've done in Chile and then rebrand?
Eduardo Padilla: First of all, I think we do see this opportunity in those two markets. Really it's all this really the benefits of having been there and doing a lot of tests, pilots, moving back and forth and adjusting in terms of the value proposition. The value proposition that we have in Colombia and Chile, we're very happy with it. And it does sell a lot. What we already have to adjust is the economic model, and the economic model -- it does lack scale. And also, we have to just understand better our -- how to labor, for instance, in Colombia, I think the very first stores that we bet on, we didn't -- we were not watching really how leases, and some of the leases are too high, and we didn't have the experience and negotiate leases better and to understand how the OXXO could be not in that particular expensive store -- corner, to probably move more to a half block point of sale. So, I think it's just a matter of adjusting, learning. And in Chile, we were able to buy a chain. And again, we are reconverting the chain. And I think by the-- and this chain was in existence very much similar to what we were in OXXO in Colombia. So, it takes time. It takes a lot of learning. Because I think what we would not do is to build a lot of stores with a value proposition that we know that we will be very much fear that it is not the correct one. And what I'm saying is the value propositions that we have in Colombia and Chile are very good, and we're just adjusting the economic model.
Luca Cipiccia: Understood. Okay.
Juan Fonseca: And I think in terms of when you -- before you start opening a bigger number of stores, given that that's going to be -- that's going to put pressure on your P&L regardless, but I think we waited, and arguably you could make the case that in Colombia it's taken us too long. But certainly as you open up your question, that in the level of confidence that we now have on the value proposition is much higher. Things have moved a lot more quickly, I think, in Chile in terms of getting to the right value proposition. Our expectations would be that in Peru, we're also going to take a lot short time in getting to the right value proposition. And, therefore, we can step into the next phase, which is one of faster growth with a lot more confidence that the numbers are going to begin moving in the right direction sooner rather than later.
Operator: And well go next to Alan Analis at UBS.
Alan Alanis: Hello, everyone. Thank you so much for -- thank you, Eduardo, and thank you, Juan, for taking my question. I have two questions. It's a coincidence that there are about a billion dollars to each of the questions. The first one is, you're going to soon be almost 1 billion dollars net cash, ex-Coca Cola FEMSA. I think you're right now over $ 900 million already. Could you remind us in terms of the criteria for deploying that capital going forward? That would be the first question. And the second question also around a billion dollars, I think you're also -- now you have revenues about $900 million to $1 billion in your logistics business. Maybe the questions are related. How are you thinking about that logistics business? We know that you've done some acquisitions in Brazil and other parts of South America, so how should we be thinking about this business, and what are the chances that we can start -- we can start seeing it as a separate business unit in the near future? Thank you.
Eduardo Padilla: Thank you, Alan. I would say really that the cash position for us is it will give us the degrees of freedom to allocate and to expand our footprint of things that we do -- that we know how to do well. And these are things that are massive, that have a major ubiquity in different geographies. And we understand all the things all that we do sell is multi-fashioned and not big things. And I think with that mindset, we understand that we're very good in logistics, in processes, in point-of-sale operations, attending B2B, but these B2Bs will be related to small -- to small shops. And I think all those combined are really the screen that we're using really to see how to allocate this capital. I was just discussing with Juan that part of this cash really comes out of the Heineken transaction that we did last year. And fortunately, we did an extraordinary transaction. We had -- we had some fiscal benefits. And number two, the exchange rate of the euro was 121, now is 114, I think. And the Heineken shares, we were able to sell it around €84, €85, and now it's below €80. So, I think -- so far, I think we're hoping that we will have the. On the other hand, some of the opportunities that we have seen are too expensive. We don' want to buy things that are expensive because we will -- it would be very difficult to create value. In terms of logistics, we are -- we made some acquisitions. We are integrating those. In some of them, I think we did the right things. In some of them, probably we bought them -- some of the Brazil acquisitions were made at the peak of the economic expansion in Brazil, and the exchange rate was a good one. So, now we are in the process of cutting back. And I think we really -- we have a Latin American footprint, but again, I think it's -- it's not a mature business. We are really putting it together with a few different things: Transport management, with truckload capabilities. The other will be storage, warehousing, and directory. The directories really we only have the Coca Cola fleet, the OXXO fleet, and the Heineken fleet. So, I think that will be very much something that is not going to be expanded. I think our expansion will be very much related to warehousing, transport management, and less on truckload services. And that, that will, there are things that probably in the future we might we interested, but we don't where...We are doing some pilots in retailing about last mile logistics, and those things combined probably will give us some light for the future.
Alan Alanis: Got it. That's pretty useful.
Juan Fonseca: I just wanted to add that, I mean, to the part of your question kind of reporting these operations on their own. I think just following up on what Eduardo said, they're probably not ready in terms of scale within, I mean, it's not that this is a small business. It's really that within the context of FEMSA, we believe that there's still some time where we can continue to develop these businesses. They're going to keep growing, and when the time is right, then we will provide a separate P&L, but that's probably not, I mean, it's certainly not next year, and it's probably not in the next couple of years, maybe.
Alan Alanis: Got it. That's very clear. Just really quickly. In terms of the skill, the skillset that you're developing for all the deployment of this capital, you mentioned Latin America. But those skillsets could be applied also in developed markets, no? Any comments in terms of how you're seeing applying those skills in the United States?
Eduardo Padilla: Yes. That is a market that we are also paying some attention. Again, we have, we still have this opportunity format we really cannot really expand because of the fear of loss in some of the states in the United States about alcohol selling. And really, we see some opportunities that things are not, markets are consolidated where we could be integrators. And probably with that mindset, I think, We are not really prepared to say that probably that particular sector, but I think there are things where distributions, logistics, shipping involvement, small transactions, geography, ubiquity, and I think those things we're very comfortable with. We, obviously, we're not thinking at all in things where a conglomerate would be thinking like, I don't know, the automotive industry or the petrochemical industry. Well, we don't know nothing about it.
Juan Fonseca: Yeah, so sticking to our meeting, which is close to our core capability set.
Alan Alanis: Got it. That makes sense, and that's consistent with what you've been doing. So, congratulations. Thank you so much for taking my question. Appreciate it.
Operator: And we'll move next to Alex Robarts at Citi.
Alex Robarts: Hi, everybody. Thanks for taking the question. I was hoping to really start out with OXXO, vis-à-vis what we've been seeing on the cost side. And I appreciate you kind of giving us, through the quarters, the updates on making this transition to the employee-based teams, away from the commission-based teams. And I guess this is really your seventh quarter as you really started this compensation move in OXXO, and you've told us about the objectives and how the sophisticated stores require this type of investment and the desire to reduce turnover. How are we doing in this transition? I remember a couple calls ago, you talked about making progress getting toward, I guess it was 50% or 55% of the employees being employee-based teams. I mean, can we expect this transition to continue into next year? Are you getting toward the end of it? And when it's done, is it really just kind of having a more productive in-store force? Are there kind of tangible economics and benefits that you could give to us about that? So, that's the first question.
Eduardo Padilla: Basically the transfer was, the employee based, is really about the stores. It's more sophisticated than it was in the past. And we need that sophistication to be implemented there. I think with our, with the commissions we have, entrepreneurs really to have a strong drive for sales. However, they sometimes they don't have such a strong or stable workforce. They might start with a very stable workforce, but throughout the years the family might grow and some of the family members are no longer working there, and then it becomes more unstable. In fact, some of the commissions we've been able to convert to the employee based. So, really it is how we really can keep the entrepreneurial spirit and inspire the entrepreneurial spirit in our employee base, but at the very same time have more stable employee workforce where we could absorb the complexity of the store and keep adding services in order to tackle the market needs. I don't know if you want to add anything, Juan.
Juan Fonseca: Yeah. Hi, Alex. I just wanted to add, when you look at the cost pressures, you're right that the mix of commission and employee is approaching 50/50. In fact, we're probably a little bit past 50/50, but very little in terms of employee stores becoming the larger piece of the pie. But the other point I wanted to make is when I look at the two or three points of pressure or reasons why the margins ended up contracting a little bit at the Proximity Division, the secure cash transportation continues to come up as the most important driver. And it's one that we are looking at different ways to address, but it's certainly the one that I would say is kind of flashing yellow. And unfortunately, it's one that we cannot manage in the sense that the migration from commission-based stores to employee-based stores is a process that is completely within our control, and we can dictate the speed at which it happens. Things like increasing in volume and costs of secure cash transportation or, for that matter, when you look at the electricity costs in the month of September, we saw a spike. Obviously, we have spoken before about how we have some significant capacity from the wind farms coming on line between now and the end of the year and then certainly throughout 2019. But those types of costs pressures are less discretionary, and we just have to deal with them. I would say that the labor one or the employee-related one, fortunately, is one that is for the structural benefit of the company and also one that we can manage a little bit more in terms of how fast it takes place.
Eduardo Padilla: I agree with Juan. Labor and electricity are things that were are investing and we are becoming better. And I think that the secure cash transportation, that's really a challenging one because we really -- We -- I think it probably kept us -- it was a major surprise really to learn how much cash we're managing. And I think we are very much now in the process to understand better that business and see how can we make it more efficient and effective.
Juan Fonseca: Yeah, I think the speed at which the financial services ramped up, the speed at which the cash began to build…
Eduardo Padilla: That they think which probably was very marginal. It's not marginal at all.
Juan Fonseca: Yeah. And part of addressing that has to do with cash backs and the function of the store where you're actually dispersing cash, whether because people are withdrawing from their checking accounts or because they are receiving a remittance that they can take a portion of that in cash. So, it's a bit of a science, but it's also a bit of an art, and I think we're getting better at it. It's clearly a high quality problem when your most important cost pressure has to do with how much cash you're getting. I think that's not a bad problem to have, but still we need to deal with it.
Alex Robarts: Thanks a lot. That's good color. And, but just to close on the compensation issue. So, there isn't -- if I can paraphrase, I guess what you're saying is that there isn't a number, 55% or 60%, where you're going to stop the employee-based team and shift. I guess you're going to be kind of seeing that ongoing until you feel that turnover levels are where you want it you to be and in-store service levels are where you want it to be. I mean, is that a safe way of thinking about it?
Juan Fonseca: Yeah, I think that's "s a fair statement. I think you can really -- you can be sure that we're never going to take it 100 and zero for sure. There's always going to be parts of the country and regions where the entrepreneurial spirit is alive and well and the commission format still remains the preferred way to structure the source. But it is a gradual process, and we will be keeping you guys posted in terms of how we're looking at it.
Alex Robarts: Fair enough. And my second is quick one. It's on traffic. I mean, 2.5% is a robust number. I think it's the fastest in about 5 quarters. And when I think about the factors that could be driving that, one of the things that strikes me is what you've been doing with Amazon. And I was keen to kind of hear your thoughts about -- you rolled this out to about 3,000 stores, about 15% of your total OXXO footprint, and is that -- are you seeing the results that you wanted to see? I know it's still early days. And I guess the last piece is, do you think looking out over the next year you can expand further that Amazon joint venture? Thanks very much.
Juan Fonseca: Sure, Alex. You know, I think at the end of the day, it's unrelated, right? I mean, the success of the financial services and services generally has brought a lot of people to the store. I think the near ubiquity of the stores also has meant that people can split their purchases, from what used to a once-a-day visit to the OXXO became twice and maybe even more than that. The more stores you have close to you, the more times you visit them, even if you're making smaller purchases. We now have about 1300 partnerships -- or 1300 different services that we provide. I think the Amazon one that you highlighted has certainly been interesting. As you say, we're at about 3000 stores, expecting to be in about 4000 stores by the end of the year. We're basically following Amazon Logistics. So, whatever new city or town is enabled by their own logistics platform, the OXXO stores in that locality should have the Amazon Click-and-Collect service. So, it's been a very successful feedback loop. As you say, the traffic number is better than it has been in a while, but if you look at the ticket number, it's not that great. Right? I mean, when you look at it in real terms, ticket hasn't really grown. In fact, it's actually contracted over the last several years, which the only way that makes sense is when you kind of understand it in the context of the full same-store sales number, which, as I said, has this component where people are going to the store more frequently and making smaller purchases. I think for next year, as I said, you should expect more stores to have the Click-and-Collect. And one other thing to keep in mind is that traffic a year ago was on the low side. I think we did maybe 1%. We had the natural disasters in Central and Southern Mexico. So, all those things are -- I think are contributing to the very strong print that we put out today.
Operator: And our next question is from Antonio Gonzalez at Credit Suisse.
Antonio Gonzalez: Morning, Eduardo, Juan, and Maria Dyla. Thank you for taking my question. I wanted to come back to capital allocation. As it relates to Coke FEMSA, Eduardo, obviously John Santa Maria has talked at length of what the exit of the Philippines means for Coke FEMSA, and we'll get some news I guess on whether dividends increase at Coke FEMSA or not later on, but as it relates to FEMSA specifically, I wanted to hear, if possible please, your big picture thoughts on -- at the FEMSA level, you guys already have the partial investment from Heineken. FEMSA Comercio, particularly OXXO, is generating dividends well in excess of its CAPX requirements, and now, it's a good problem to have, right? But the problem is compounding, if we look at Coca Cola FEMSA now, being able to distribute more cash than before. So, I wanted to ask, A, If you are, at the FEMSA level, more inclined now to become more biased toward cash distribution or to deploying the money in new businesses more rapidly or a combination of both, if this impacts at all the way you think about capital allocation; and B, if you can remind us -- I know obviously that every business unit is incentivized on EVA spreads and allocating money to projects that cover their costs of capital, but I wanted to ask if you can remind us whether there's an overarching set of targets at the FEMSA level in terms of any specific objective of moving money, or excess money in this case, from subsidiary A to subsidiary B? Any targets in terms of time to deploy the money or obviously keeping cash with very low yields at the FEMSA level, I guess, should have sort of a negative impact on these EVA targets that you always set. So, I just wanted to hear your thoughts on any overarching targets that dictate this capital allocation between subsidiaries. Thanks, Eduardo.
Eduardo Padilla: In terms of Comercio, I would say basically, we are basically using all the cash that we generate. We are, with the expansion in South America, with the, and the drugstores, the opportunities that we're seeing, I think FEMSA Comercio by itself has a lot of growth opportunities, and we'll be capitalizing those in that particular set. I really think that what we have here is the cash from Heineken. And that particular cash from Heineken, really going forward, is really basically what I was telling to Alan. We want to invest in growth, in growth sectors for the future of FEMSA. We are here, we are very committed for the long run of this corporation, and we're committed to expanding vectors of growth, and probably those vectors of growth will not probably be huge or major acquisitions, but will be probably 500 to 1 billion, 1.5 billion acquisitions where we can allocate, understand, and educate ourselves to start growing from that. And I think that will be probably the perspective. Really going forward, we, EVA is our major, going forward is really, how we really compensate ourselves and our executive base and that keeps really...Going forward, really creating value is very important. And I think what we'll be thinking of is how to install sectors for growth for the long run.
Juan Fonseca: Hi, Antonio. I think just building on what Eduardo just said, I would like to highlight and remind everybody just of the, kind of the concept and how we view growth. As you correctly point out, John has spoken a lot, given the current juncture at Coke FEMSA, obviously there is this money coming in from the Philippines and the significant capital generation of cost, but there is this structural growth bias that, I know that you and I have discussed in the past. There are lease assets, some in the bottling space, some in the noncarbonated space that Coke FEMSA is in a position to pursue. But yes, there's also, I think, the increased probability that once the analysis is completed, as Hector was saying yesterday, there should be some room for increasing the return of cash to shareholders. If that is the case, obviously FEMSA will receive more dividends from costs, and then in turn we will turn around and give those dividends to our own shareholders. As we've spoken in the past, our own dividend policy includes taking the dividend from both Coke FEMSA and Heineken and basically passing through to our own shareholders. So, there are scenarios, probably likely scenarios where the dividends from FEMSA could increase. But that would be basically driven by costs. Whatever incremental free cash flow we have from the retail business after the growth that Eduardo addressed, then there's always the analysis, and every year we try to keep the dividends reflect the dynamics of the business. You look at the charts, and you're very familiar, our dividends have grown rather healthily. But there are a lot of things that we can look at on the growth side at FEMSA, as Eduardo was saying.
Antonio Gonzalez: Okay, fantastic. So, just to be clear. If I needed to summarize this, any dividends you get from Coke FEMSA will at the same time distribute to shareholders. FEMSA Comercio is funding its own growth, and then the capital allocation, the way you see it is just how to redeploy the profits from the Heineken partial sale into the high-growth opportunities. Is that fair?
Juan Fonseca: I think that's fair. And then there is a time, I mean, you raise valid points. Obviously, the cash earn a little bit of a return, but it's not what we want to do for the long run. And so, there is, we have a sense of urgency, but there's also the discipline of acquiring the right assets at the right multiples. So, it's an interesting exercise.
Antonio Gonzalez: That is very clear. Thank you, Juan and Eduardo.
Operator: And we'll go next to Carlos Laboy at HSBC.
Carlos Laboy: Yes, good morning everyone. Juan and Eduardo, you've rolled a delivery app. Can you expand on what's the strategy of your home delivery, why you're doing it, how you see it evolving over the next couple of years? And what do you know already from your consumers in terms of potential usage of this?
Eduardo Padilla: The home delivery, Carlos. Hello, Carlos. This is Eduardo. Home delivery for us, the proximity thing about OXXO is that OXXO being whatever, is very into whenever you have these quick needs, OXXO is there to serve you. And really what we want, there is one location really which is the, you remember those consumer locations that we serve at OXXO which is hunger or being thirsty. The other one, one of the things that we can serve better is what we call reunions, which is where people gather to see a soccer match at the TV, or they gather together with 6 or 8 friends, OXXO, that is more a planned purchase. And those particular planned purchases really, the home delivery, there are some trial tests that we're doing to understand it better. And the current services that we see now in the market related to distribution. the food distribution in Mexico, when you have tickets of 50 pesos, which is 2 dollars, 3 dollars, the structural costs of delivering that to the home is a difficult one. What we would think is when you can put together and having a larger ticket with a planned purchase, we serve it better. And I think we are doing good in roads with apps. And probably the fiver first quarter of next year, we are doing a lot of tests everywhere. And I think we are in a very good position to serve that market in a better way. We are also doing things in Pintek, where we could see all the things that happen at the store could happen with the OXXO brand somewhere else. Those are the things that we are really working for.
Juan Fonseca: Hi, Carlos. This is Juan. I mean, certainly the intensity, obviously internally in terms of the amounts of resources that are being deployed on these types of initiatives -- and I would say the interest from the markets has grown exponentially in the last, I would, 12 months. And I think at the crux of this is figuring out what part of the new economy represents a challenge and what part represents an opportunity. Right? And I think, fortunately, that equation for OXXO tends to -- in our view, to more on the side of opportunity because of what Eduardo described. I mean, there are certainly some of -- there's a certain percentage of what we sell that is subject to perhaps home delivery and kind of the Amazon of the world type of purchase. But there's a big percentage, maybe 60-plus, close to 70% of what we sell which are single-serve, spur-of-the-moment transactions where people are thirsty or have a craving or they run out of cigarettes. And those transactions are probably well protected from e-commerce. But the bigger question then becomes what are the opportunities that we could capitalize on? And they would involve, obviously this whole thing with the OXXO app that is being rolled out first in Monterrey and hopefully eventually to a larger set of stores, but also the thing with electronic payments, gathering information and insights on the consumers, eventually finding ways to capitalize on that, monetize that. What parts of the value chain can we do ourselves? What parts of the value chain do we need partners for? Which of these players do we need to have an investment in, like connect the investments on the Pintek side, are other things that we're looking at. So, clearly this is something that has become top of mind. And like I said in the beginning, it's something that's receiving a fair amount of resources, both human and financial from our side.
Operator: We'll go next to Rafael Shin at Morgan Stanley.
Rafael Shin: Yes, hi. Hi, everyone. Thanks for taking my question. My question was related to the services part of it. I was wondering if you can provide a little bit more color of how the mix of services is evolving. And I know that obviously you have a lot of services, so maybe we could talk about which -- out of the big ones, which ones are growing, which ones are maybe losing, I guess, some market share to more services and things like that? So, if you can provide us some color on that, it would be great.
Juan Fonseca: Hi, Rafael. Sure. This is Juan. I think within the services category, obviously bill payments are huge. That's how it all got started, and I think a lot of the new services that we continue to sign and bring into the fold probably fall under that category. However, the ones that have presented the fastest growth, and it's really been exponential, have been the financial services. The one data point -- the one example that we usually discuss in these calls -- because it's, I think, symptomatic and an indication of how these things continue to evolve, is the number of Saldazo accounts. Right? And it's really remarkable that more than 3 years after launch, we are still issuing something in the order of 200,000 new accounts per month. Right? And that pace has not changed in several years. And so, right now we are -- I'm looking at the September 30 number. 10.9 million accounts. So, by now, we're probably past the 11 million accounts. And the percentage of these that are active is about 60 plus percent, which is about twice the normal rate of usage for debit cards in Mexico. So, I wouldn't want to get into market shares. Certainly, internally, we look at other banks, I mean, at banks, because we're not a bank...We look at other issuers of cards, and we are right up there. Right? I mean, we've gotten very close to the top of the list in terms of branded debit card accounts, and we don't see it slowing down. So, it's going back to earlier questions today. This compounds the challenges that come with managing cash, but also it's very, very, very well suited to be the place where the average Mexican converts cash into digital money. And so, we probably will continue to play that role. We need to be ready to play that role. Obviously, there are big portions of the economy that are informal or less than formal. There continues to be a lot of cash in Mexico in everyday life, and I think OXXO is well poised to continue to play a role as Mexico kind of transits into the more digital economy.
Rafael Shin: Okay, that's great. Just a very quick followup. So, for example, bill payments, right? When you have people being able to pay with a mobile phone very easily, are you losing some of those services as people are able to do that? Or you haven't seen any slowdown in those kind of services?
Juan Fonseca: No, we haven't really seen it. Obviously, we're cognizant that there are many, many countries in the world where paying through your phone has become commonplace, and there are big players in other emerging and certainly more emerging markets than Mexico. But at the end of the day, there needs to be a place where people come with their cash and they put it into some kind of a wallet. Right? A digital wallet. And so, that's one of the things to keep in mind, and obviously we're looking into it, in terms of how can we ensure that we continue to be that place. And could we eventually play a role as kind of the OXXO wallet or OXXO pay or different things that are being looked at. But there has to this physical place where people that have cash in their pockets first put it into the digital space, and OXXO is very well positioned for that.
Operator: And ladies and gentlemen, that is all the time we have for questions today. I would like to turn the conference back over to Mr. Padilla for any additional or closing remarks.
Eduardo Padilla: Well, thank you everyone. Thanks for attending our conference call, and we look forward to see you in the next quarter. Have a great weekend.
Operator: Ladies and gentlemen, if you wish to replay the webcast for this call, you may do so at FEMSA's Investor Relations website. This does conclude our conference for today. Thank you for your participation, and have a nice day. All parties may now disconnect.